Operator: Good afternoon. Welcome to Alexandria Real Estate Equities First Quarter 2020 Conference Call. [Operator Instructions]. Please note that this event is being recorded. I would now like to turn the conference over to Paula Schwartz from Investor Relations. Please go ahead.
Paula Schwartz: Thank you, and good afternoon, everyone. This conference call contains forward-looking statements within the meaning of the federal securities laws. The company's actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company's periodic reports filed with the Securities and Exchange Commission. And now I would like to turn the call over to Joel Marcus, Executive Chairman and Founder. Please go ahead, Joel.
Joel Marcus: Thank you, Paula, and welcome to everybody. And with me today, virtually, I think, our first virtual quarterly call. In order presentation is Jenna Foger, Steve Richardson, Peter Moglia and Dean Shigenaga. And we're pleased to present the first quarter earnings call. This will forever be known as the COVID-19 quarter for all public reporting companies. And as I always do, I want to thank our entire team for a truly stellar operationally excellent first quarter 2020 under extraordinary lead difficult COVID-19 circumstances. Our current and go-forward operating and financial status is excellent. On the fourth quarter and 2019 year-end earnings call on February 4, I commented on the novel coronavirus global health emergency and what Alexandria and our client tenants, we're already working on astoundingly, it was not until March 11, 2020, that the World Health organization declared COVID-19 a pandemic. The COVID-19 virus is a tiny 120-nanometer particle, roughly the wavelength of ultraviolet light that has rippled and replicated across the globe with very ultra violence. And more than 3 million cases worldwide to date.Tiny things have immense impact, especially when everything and everyone is so interconnected and vulnerable. And some have kind of dubbed this China's chernobyl. In a few minutes, I'll ask Jenna to update you on the COVID-19 fight regarding testing therapeutics and vaccines, which is moving forward in a rapid pace literally every day. We had Alexandria laser-focused and enormously proud of our collective accomplishments during this very challenging first quarter, which none of us will ever forget.Our team's tireless and truly outstanding performance really by all metrics, and we are staying lean, mean and laser-focused on our mission with no ego. Our teams acquired and delivered over 35,000 individual pieces of PPE, mostly N95 masks and delivered those to hospitals in 6 cities, New York City, Boston, Seattle were our top priorities. We also delivered them to Dayton, San Diego and LA Hospitals. We consider this to be a truly great execution of our corporate responsibility.Alexandria is among the industry leaders in total shareholder return. Alexandria has best-in-class tenants. Alexandria has best-in-class assets and a powerful and inspiring cluster market presence design and place-making really second to another. We have world-class trusted relationships. And importantly, our fortress balance sheet gives us great flexibility and optionality going forward.We, in the life science industry are at the forefront of this multifaceted fight against COVID-19, while still innovating each and every day novel technologies and new products to also treat cancer, cardiovascular, metabolic, neurological and other serious, serious diseases. While most REITs compare their business today, the COVID-19 in the COVID-19 pandemic to the great financial crisis of 2008 and 2009. I think for us, we like to look at 4 years after that time really in 2013. This industry and its innovation really catapulted its capabilities and impact starting in 2013, which really was the start of the great bull run of this industry. And as we sit here today, the life science industry is really the true solution to winning the battle against the COVID-19 pandemic. A return to the days when Merck and is then CEO, Ray Vagelos, were the most admired company and the most admired CEO in America.The first quarter of 2020 set an all-time record quarterly high of $8.1 billion invested in venture-backed life science companies, a very high level and accelerated pace, over 80 of biopharma R&D collaborations took place in the first quarter, including the blockbuster, $483 million Moderna and BARDA government funding to -- and Moderna being 1 of our important tenants to advance and scale clinical testing and the manufacturer for a novel COVID-19 vaccine really the key to the solution here.Biopharma continues to outperform the broad market in the first quarter amidst the COVID-19 reality. While most industries are adversely affected by acute changes in consumer demand, this is not the case for biopharma. As the need for new medicines is fundamental to our human condition. This discrepancy is one of the reasons why biopharma outperformed other sectors during the great financial crisis and the tech bubble crash of 2001. NIH funding support remains very strong with a 7% budget increase for fiscal 2020, up to $41.7 billion, a very favorable regulatory environment continues with the FDA, especially in light of COVID-19 and 11 new product approvals were achieved in the first quarter.Medical research philanthropy has also hit an all-time high as well. How I think it's fair to say that the much like flying was before and after 911, things will never again be quite the same as they were pre-COVID-19 and the international pandemic. How quickly we return to what will be a new normal, depends on how we solve the public health situation, restore public confidence and safety. Jim Collins, the famous business author and writer. Research clearly evidences to be built to last, you have to be built to change. And more importantly, in Jim's introduction to his book built to last states, the real focus is it is really about building something that is worthy of lasting. It's about building a company of such intrinsic excellence that the world would lose something important if that organization cease to exist.Jim Collins further stated, we are more convinced than ever that building an enduring great company, 1 that is truly worthy of lasting is a noble cause. And our mission at Alexandria is now more important than ever, and we are in the fight each and every day. Making a tangible and positive impact. And we're great -- we were really graced by Jim Collins on the cover of our 2016 annual report, where he indicated Alexandria has achieved the 3 outputs that define a great company: superior results, distinctive impact and lasting endurance. And with that, let me turn it over to Jenna Foger.
Jenna Foger: Thank you so much, Joel, and good afternoon, everyone. Against that backdrop and the backdrop of the unprecedented economic, public health and social impact of this global coronavirus pandemic. As Joel elegantly described, life science fundamentals remain strong as the biopharma industry represents the beacon of hope in the fight against COVID-19. Effective diagnostics, therapies and vaccines are absolutely mission-critical to solving this crisis, and we truly owe a debt of gratitude to the heroic work being spearheaded by so many of our tenants to help test for, treat and prevent COVID-19. The countless efforts we are tracking, not to mention the many philanthropic initiatives across our cluster campus communities, providing medical supplies and protective equipment to neighboring hospitals is profound and inspiring. We are currently tracking over 60 tenants across our cluster markets with publicly disclosed COVID-19 programs with dozens of intercompany and public-private collaborations transpiring across our portfolio.Our tenants position at the forefront of fighting COVID-19 reflects the strength, quality and fortitude of our tenant base. As you all know, we take tremendous pride in the tenants we attract, each of which is strategically underwritten by our science and technology team, which I have a profound honor of being a part of alongside 20 of our colleagues with deep background in science and business. So I would like to briefly highlight the mission-critical work of our tenant companies across 3 major categories: one, improving testing, quality and capacity, 2, advancing new and repurposed treatments; and three, developing preventative vaccines. So in the area of improving test and quality and capacity, tenant companies, including Abbott labs, LabCorp, Roche, Quest Diagnostics, Thermo Fisher, UCSS color genomics and several others are working to enhance the quality and capacity for rapid and accessible testing to determine who actively has the virus, who has been exposed and who has developed immunity against it. The availability of widespread screening and serological testing of this nature will be instrumental for track and trace initiatives and, of course, the safe and healthy reopening of society and return to work.In terms of therapies and vaccines, over 180 potential drug treatments and vaccines are being studied in more than 250 clinical trials around the world, with well over 100 preclinical stage programs in development. As you can imagine a substantial number of these programs are sponsored by our tenants. Headlining efforts among them include Gilead sciences Remdesivir, which is in late-stage studies for the treatment of moderate and severe COVID-19 patients, which, if positive, will likely form the basis for the first FDA-approved treatment for COVID-19.Tenant company Adaptive Biotechnologies is partnered with Amgen to identify and develop therapies from the blood of sick or recently recovered COVID-19 patients. Other tenant biotechnology has announced partnerships with fellow tenants, Alnylam, Biogen, GSK and others to develop new and existing antibodies that could be used as therapeutic or preventative options to come back to COVID-19 and other coronaviruses. Several other tenants, including AbbVie, Eli Lilly, Fiber and Novartis are similarly endeavoring to develop novel therapies and repurpose existing drugs to provide near-term treatments for moderate and severe COVID-19 patients and those at highest risk.And lastly, vaccines. So clearly, a prophylactic vaccine represents the effective end of this global COVID-19 pandemic. Our tenants Moderna and the National Institute of Allergy and Infectious diseases NIAD partnered as Moderna's mRNA-based vaccine into the clinic last month. Subsequently, as Joel mentioned, BARDA committed up to $483 million to support the clinical development and manufacturing scale-up of Moderna's vaccine candidate. To help expedite FDA approval over the next 9 to 12 months an unprecedented pace for the sort of activity and facilitate the supply of tens of millions of doses of that vaccine for a month thereafter.Other tenants, including Johnson & Johnson, Medicago, Novavax, Fiber, PS, Sanofi, are leveraging their vaccine development expertise and technology platforms with the goal of expediting the delivery of a safe and effective vaccine to the public in 2021. These noble and expedient efforts across our tenant base are in large part to the fact that as the new coronavirus made itself known to the world, these companies were already well equipped with the R&D infrastructure, resources and talent in place such that they were able to mobilize at nearly a moment's notice to combat this unprecedented global health emergency.And with that, I'll turn it over to Steve.
Stephen Richardson: Thank you, Jenna. Good afternoon, everyone. Steve here. We've discussed the mission-critical nature of our laboratory office facilities since our inception 26 years ago. It is clear now more than ever that Alexandria is the proven leader in providing mission-critical an indispensable strategic national health infrastructure in these unique facilities. As Joel and Jenna outlined earlier, we have 60 companies directly engaged in the fight against COVID-19. Our unique platform is leading to healthy activity at Alexandria's Class A laboratory facilities. During Q1, we leased 700,000 rentable square feet at very strong rental rate increases. Actually, the highest during the past 10 years with 22.3% on a cash basis and 46.3% on a GAAP basis, led by a large lease in our flagship Tech Square campus in Cambridge. Our mark-to-market continues to be strong at 15.8% GAAP and 14.3% cash.Lab supply constraints continue with nearly 0 lab subleases coming to market since the inception of the pandemic and continued strong occupancy at 97.5% in our campuses when excluding the vacancy of the recently acquired campuses in San Diego and South San Francisco that will provide future growth opportunities. Executed leases now for the month of April are on pace with Q1 leasing velocity. And important to note that we do have ongoing demand in the form of serious interest and negotiations with tenants on renewals and expansions and our new ground-up developments and redevelopment projects. It's also important to highlight that Alexandria has long been a pioneer, an early adopter in the discipline of designing and constructing state-of-the-art healthy facilities. We currently have 39 total fit well and we well health certification initiatives with 12 projects completed and another 27 projects underway. One of these facilities in Cambridge, in fact, received the highest score fit well ever awarded. Our mission-critical facilities already feature many state of the art mechanical and filtration attributes and are easily adaptable as may be needed going forward guided by our skilled operational teams who are well versed in the types of measures needed to deliver enhanced environments.Finally, Alexandria is fully prepared and well positioned at all strategic and operational levels to protect the inherent value of our unique Class A facilities and continue to grow as a trusted partner to the life science industry to beat this pandemic.With that, I'll hand it off to Peter.
Peter Moglia: Thank you, Steve. I'm going to quickly update you all on our development pipeline. Acquisitions closed in 1Q and touch on some capital markets activity. Coming into 2010, we have 11 development and redevelopment projects in our pipeline that are 61% leased, with another 7% under negotiation. One of the many things that we like about our pipeline is that it is spread among 6 markets and 9 submarkets, which really shows that the ecosystems we've built in all of our clusters are contributing to our growth and our story is not just about any particular region. Despite the shelter in place orders, reducing our ability to tour potential tenants, there is good activity on partially leased assets that are progressing at various levels from initial online presentations to paper being traded. As Steve mentioned, we are still seeing healthy activity in our markets. And these leasing percentages should accelerate given the pent-up demand and the new COVID-19 related requirements.As you may have noted, by looking on Page 38 of the supplemental, 7 projects have had a temporary pause in construction, but 3 of them have restarted as they've been deemed essential. Delays related to shelter in place orders or I'll refer to as SIP, are not day for day. They are likely between day for day and 2 days per day of delay, depending on how long it takes to remobilized the subcontractors back on-site and where we were in the staging of the work. We do not anticipate any material supply chain issues. The amount of delay is really going to depend upon the subcontractor labor and what other work they are performing elsewhere. In general, we anticipate about 1/4 delay on average for those projects that are in temporary work stoppages due to SIP orders and assuming construction recommences upon lifting of the current orders, and they are not further extended. We do anticipate or we do not anticipate any material movement in yields at this time due to these delays. In the -- touching on acquisitions, in the first quarter, we closed on 2 projects, we discussed on last quarter's call, 275 grove in the Route 128 corridor and the JV with Boston properties in South San Francisco.In addition to those, we closed on 9808 and 9868 Scranton Road in Sereno Mesa. And 3330 and 3412 Hill view in the Stanford Research Park. The Scranton Road assets total 220,000 square feet and are located directly across the street from and will be incorporated into our SD tech campus. They are currently 88% leased with the predominant tenants being investment-grade companies. The assets present us the opportunity to achieve a strong 6.8% stabilized cash yield by leasing the vacant space and future value creation opportunities as they are convertible to lab. A 50% interest in these assets was subsequently sold into a joint venture, and we received $51.1 million from net asset sale.As mentioned, in addition, we closed on 3330 and 3412 Hillview in the Stanford Research Park for $105 million. These 2 high-quality Class A office properties total approximately 106,000 square feet and are fully leased to credit tenants. The rents are considerably under market and offer near-term value creation in an irreplaceable location. The buildings are also convertible to lab offering us long-term optionality and further value creation opportunities down the road.Subsequent to the end of the quarter, we closed on 975 to 1075 Commercial Street and 915 to 1063 old County Road, a 12.7 acre site that is the fourth and final piece of our 25 Acre assemblage branded as the Alexandria district in St. Carlos. This campus is in close proximity to the Caltrain station and will reach 2 million square feet upon full development. First phase of a little over 500,000 square feet is currently under construction and has been well received as the only purpose-built Class A lab campus in the Greater Stanford cluster illustrated by it being 56% pre-leased with another 9% under negotiation.I'll wrap up by mentioning that conversations with a number of brokers indicate that there is still strong interest in lab office assets from a diverse set of investors. To that end, the post 426,000 square foot campus in Waltham in Massachusetts closed on April 2 at a 5.1% cap rate, the lowest suburban cap rate we know of. And a reliable source has told us another life science transaction in the Boston area has gone under contract while in the shutdown. With a positive light shining on the industry, it is not surprising that demand for our product type remains robust.And with that, I'll pass it over to Dean.
Dean Shigenaga: Thanks, Peter. Dean Shigenaga here. Good afternoon, everybody. I'm just going to quickly rattle through my commentary, kicking off with really outstanding results for the first quarter. Revenues were up 22.6% over the first quarter of '19. NOI was up 22.9% as well over the first quarter. Adjusted EBITDA margin was very strong at 68%. Contractual and annual rent escalations average almost 3% today. Our value creation pipeline is 61% leased and will generate significant revenue and cash flows, and I'll come back to this topic in a moment. We also have about $37 million of annual cash net operating income that will commence as free rent burns off primarily over the next 4 quarters. Related to recently placed into service development and redevelopment projects. Same-property NOI growth was very solid at 2.4% and 6.1% on a cash basis. Rental rate growth, as you heard from Steve earlier, on lease renewals and releasing the space was very strong, up 46% and 22% on a cash basis. And our properties are open and operating today and through this environment. Our business is not absolutely immune from this unusual and unprecedented environment. But is doing very well on a relative basis. The NASDAQ biotech index, as some of you may have noted, was up 5.8% year-to-date as of yesterday. And our stock has outperformed on a relative basis, roughly down about 7% year-to-date, again through as of yesterday.Our team is working diligently on our annual corporate responsibility report, which we expect to issue around mid year. Now as Joel had highlighted, our balance sheet really remains in the best shape in the history of the company. We had about $4 billion of liquidity. We have an excellent maturity profile with no debt maturities until 2023. And the top we rank roughly in the top 10% on a relative ranking with our credit profile when compared to all publicly traded REITs. We have a real high-quality tenant roster, et cetera, et cetera. I mean, these are just some of the best statistics in the REIT industry today. And we remain committed to our strong and improving credit profile. Our dividend is well covered with an FFO payout ratio just under 60% today. This strategically allows us to use a portion of our cash flows from operating activities after dividends, which is just above $200 million today. For investment into our value creation ground-up development projects.Now briefly on rent deferrals and an update on rent collections, we've only received a handful of requests for rent deferrals, which is primarily on the retail side of our tenancy. And we've really taken these requests 1 by one, and we'll review each review these each 1 month at a time. The total rent deferrals were in the low $600,000 range for the month of April. Now we're very proud of our research and property management teams for really building an outstanding and high-quality tenant roster and for really taking care of these long-term relationships. We've collected 98.4% of our April rent and expense recoveries, which is just outstanding.Our AR balance as of Friday, April 24, was $7.3 million, representing the lowest balance since 2012. And our team has successfully decreased our AR balance, both when we look back to the depth of the great financial crisis. So our goal was clear from the beginning of April that we would continue to make this a priority each month. We're feeling really good now that we're at the end of April. We've collected almost all of our account receivable balances our business is doing really well, again, relative to other REITs. However, this is an unprecedented environment, and we have forecasted a relatively minor impact to our outlook for the last 3 quarters of 2020. We're forecasting about an $0.08 or 1% reduction in FFO per share as adjusted at the midpoint of the range of our guidance. And this is really related to a very limited retail tenancy that we have as well as transient and short-term parking of the $0.08, 60% of this is related to retail, and the remainder is primarily related to transient and short-term parking. To put this into perspective, this $0.08 is roughly 60 to 70 basis points of our annual rental revenue, and we believe this will only be about a 50 basis point decline to our year end occupancy.As of March 31, our annual rental revenue from retail was about $10.4 million. We recognized an allowance of about $3.8 million related to NOI for the second, third and fourth quarter of 2020, and most of the impact to retail revenue will really occur in the second quarter since GAAP requires cash basis revenue recognition related to these leases that now have specific allowances or reserves. And our retail-related occupancy declines, which we expect to be very minor, may not occur right away since these leases are still in effect today. And keep in mind, retail is a very minor part of our operating results, but we hope these details are useful.Parking income for ARE is primarily from urban or CBD markets. And these markets have very limited parking to service tenants and daily parking needs. For example, Juno Therapeutics in Seattle has about 600 employees, but they only have parking for about 50% of that employee base. So these really dense urban CBD submarkets generally have lower risk of a major decline in parking income due to the very limited supply of spaces in the markets.Our outlook for same-property performance for 2020 remains very strong, down only about 50 basis points. The $0.08 of FFO per share related to retail and parking revenue. Translates to about 60 to 70 basis points of same-property results. And this was offset by our same-property results in our forecast running at the upper end of the range prior to this guidance adjustment.Now turning to real estate impairments. We spent quite a bit of time analyzing options for 1 of our unconsolidated retail joint ventures. To put this into perspective, this deal came together back in 2015 as we were looking for opportunities to monetize certain assets, including this land parcel, now in this case, we found an opportunity to contribute our land into a joint venture with a local retail developer in Maryland. And this project was really doing well on its way to solid, stabilized NOI, until COVID-19 arrived and almost every tenant was required to comply with executive orders and close their business. Now we concluded that we're not going to recover our bases and wrote off our investment of approximately $7.6 million.Turning to our venture investment portfolio. The portfolio has done really well to date. For example, our venture investments aggregate about $1.1 billion. But this includes unrealized gains of $384 million. During the first quarter, we did recognize impairments aggregating about $19.8 million, primarily related to 3 privately held investments. One is focused on Parkinson's and ALS, another in the dermatology area. And the third is a smart glass technology-related company. Now each of these companies really have great innovation and technology. However, we do not expect to recover our entire investment.On the positive note, realized gains for the first quarter were $15.1 million. Recent quarterly gains were put on -- for 2020 really are on track to exceed the $50.3 million in realized gains recognized in 2019.Turning to our value creation pipeline. We're uniquely positioned with flexibility to be prudent during this unprecedented time, while we're also very well positioned to address future demand. Now construction has been impacted in urban markets with more of our suburban markets having limited to no impact. COVID-19 and other projects continue while following appropriate guidelines.Now we felt it was prudent to significantly reduce our 2020 capital plan with a reduction of $640 million in construction spend and $300 million of acquisitions, both at the midpoint of our guidance. Now our remaining construction spend for 2020 is now primarily focused on construction that is committed to tenants. Importantly, though, we remain uniquely positioned for opportunities on a project-by-project basis to meet the demand for our well-located pipeline of future ground-up development projects. Now we updated our 2020 guidance to a range for EPS dilutive from $1.69 to $1.79 and for FFO per share diluted as adjusted from $7.25 to $7.35, as usual, please refer to the detailed underlying assumptions included in our 2020 guidance, beginning on Page 9 of our supplemental package.Let me pause there and turn it back to Joel.
Joel Marcus: Operator, let's open it up for Q&A, please.
Operator: [Operator Instructions]. Our first question is from Sheila McGrath from Evercore ISI.
Sheila McGrath: Joel, I was wondering if you could talk big picture, your thoughts on research funding for life science tenants in the race for the cure, do you think the laser focus will have some positive outcome for R&D funding for your tenants? And you also mentioned 60 tenants working on COVID responses. Are they dominated in any 1 or 2 single markets or across the portfolio?
Joel Marcus: Sheila, welcome to the call. So the -- I talked about NIH being up 7% this year, who knows where Congress may decide to additionally, focus there was $25 billion in the recent care bill this, I think, the second addition focused on testing. In fact, I was on a call the other day, where there's going to be some rollout of some pretty amazing novel testing. So a lot of money is going into that sector. In fact, it may be that the nasal swab will actually be old technology at some point, and people will be using there's some research out of practical research out of Rutgers and Yale, indicating that you can actually find virus in spit. And if you could imagine, you could do that simply on a daily basis. And be alerted on your smartphone that you aren't able to go to work, that would be a pretty unique solution. So we see a fair amount of money, both from pharma, from Bio, from the venture side, obviously, from philanthropy and from the government. I think the BARDA deal that I mentioned and Jenna mentioned almost $500 million to try to ramp up testing and the vaccine with Moderna is 1 example of, I think, extraordinary focus in this area. So I think it's broad-based and really across multiple regions.
Sheila McGrath: Okay. Great. And then on leasing spreads for the quarter, I think Steve mentioned they're the strongest in 10 years. I was wondering if you could give us more detail on the mix of the increases geographically? And if there was any 1 lease that was well below market that might have impacted the numbers?
Joel Marcus: Yes, I'll have Steve comment. It was somewhat broad-based. One of the important leases was a renewal in Tech Square. I don't want to get into the details of that, but that was certainly an important part of driving. But Steve, any further comments?
Stephen Richardson: Sheila, it's Steve. No, that's exactly right. We do have, as we said, mark-to-market strong across most of the regions, and it is typically broad-based for this particular quarter, we did have that 1 lease at Tech square that was a particular driver. But in general, we do have nice mark-to-market opportunities.
Sheila McGrath: Last question. On the North Tower, your 10-Q mentioned that, that project would be postponed. I'm just wondering if that -- in York, is that indefinitely postponed? Or what's the status of that future development?
Joel Marcus: Right, as you maybe even have seen on television when some of the news media reports go to that site, which is right next to our 2 towers, the pad that was the location of OCME, the Office of County Medical Examiner was occupied for many, many years. So the white tent with the unidentified remains of the world trade center victims. They've vacated that site, and then we began a diligence there. They reclaim that site for a temporary period just a number of weeks ago, they have mobile morgues there because of the number of people dying in the New York City area. We would expect them to probably vacate that by the summer or the fall, and then we would look to see where we are with the economy and so forth. But I don't think it's going to be an indefinite postponement in the sense of how long they'll be there. We just don't know at this point.
Operator: Our next question is from Anthony Paolone from JPMorgan.
Anthony Paolone: You talked about just the continued demand for space from your life science companies. And reading these headlines about Google, maybe changing some of their space plans. And so I was wondering if you could talk about when you net all of this, maybe what's happening on Tech and what's happening on life science together, what do you think is happening with your rents? And what do you think will happen with occupancy on the ground in some of your markets?
Joel Marcus: Well, I'll ask Steve to come in a minute. But I think in general, we're a dominantly life science focused business. As you know, Tony, for a long, long time. We do have a number of important single-tenant buildings where we have companies like Google. They have the original campus. They started in Facebook, et cetera. We don't typically have multi-tenant office buildings that have lots of different tenants and lots of different in the office. And so we don't think that's going to have any particular impact on us. It may -- more broadly. But Steve, you could comment what you're seeing on the ground?
Stephen Richardson: Tony, it's Steve. Yes. Broadly, when you look at just the overall vacancy in these markets, they're typically mid-single digits and even low single digits. Look at Cambridge, 1.8% vacancy, San Francisco, 2.2% availability and on with other regions as well. And then my comment as well, there has not been really any significant sublease space that's come to market since the pandemic. So you do have again, a constrained supply situation. We think pricing power will be maintained the level of demand continues to be strong. Again, April's activity was consistent with what we saw during Q1 and of this year. So the markets are, in fact, healthy at this point, and we're very, very close to them as well with our installed tenant base.
Joel Marcus: Yes. I think the bigger question, Tony, that you may be asking, too, is, will these companies somehow decide to put people in more remote locations or even at home. And that's something we just don't know yet. There are obviously a number of office tenants who've indicated that they will have a new way of working, maybe in shifts or, in fact, maybe will wait and do telecommuting until there's either an effective therapeutic or hopefully an effective vaccine as well. So we haven't seen that roll out. But again, in the office world, most of our leases are really full building leases with the major tech companies. We don't have lots of spaces rolling and smaller spaces to deal with. So that's a good thing on the office side.
Anthony Paolone: Okay. And then in terms of the acquisition, you walked away from in the quarter. Can you give us a sense as to the size of it? And what changed or what your view of value was and maybe is now to prompt, leaving the $10 million on the table?
Joel Marcus: Yes. So maybe I'll have Dean comment and then maybe Steve as well.
Dean Shigenaga: Tony, Dean here. So the size of the deal is roughly $150 million to $160 million in that range. And it really came down to economics at the end of the day, during the diligence period, Tony. We constantly revisit the cash flow analysis and our views on the performance of the holding in the near-term was meaningfully different. And when we took it in totality with our business today, and where we want to deploy capital. It was a pretty simple decision, even though we don't take these decisions lightly because you're talking about $10 million. But it's the only transaction I can think of in the history of the company where we've had to do that. And it was well thought through, and I think the prudent decision for us as well as our investors to pause and terminate the deal.
Joel Marcus: Was -- keep in mind, it was an office asset in the city of San Francisco. Steve, anything else you'd want to add?
Stephen Richardson: No, Dean really covered it there.
Anthony Paolone: Okay. But just to make us understand, was it more you just saw your capital better situated somewhere else giving what's unfolded? Or was there some -- it wasn't a matter of the tenant crapped out or something?
Joel Marcus: Well, I think in this -- remember what I said, this was an office asset, a multi-tenant office assets. So you can imagine your first question really went to the heart of that as we saw things unfolding in the office sector. Our underwriting changed. And so that kind of alert you to is this where you would want to deploy your capital in this particular kind of environment? The answer was no.
Operator: Our next question is from Tom Catherwood from BTIG.
William Catherwood: Peter, it was helpful your comments on the seven active construction projects that had been delayed in the three that had been restarted. But you also have another 2.1 million square feet of near-term development opportunities. Have your capital spending plans impacted these projects? And are there some that you're prioritizing over others at this point?
Peter Moglia: Yes. So maybe let me ask Dean to kind of take first shot at that.
Dean Shigenaga: So Tom, the way we thought about our capital, and this is true for many years now. The large portion of our capital spend is in the category that we always have the flexibility to moderate, like we did just now with our earnings release. These are future projects in the pipeline that have not yet commenced vertical construction not committed to tenants yet. We move them along to shrink the time to deliver, which means everything from entitlement to site work. We could be doing anything below grade, which could include a obviously, infrastructure, but a parking garage, if necessary, just the strength of time to deliver. Now there's still important costs continuing, but the bulk of the spend has been temporarily paused because we think that's the most prudent thing to do in this environment. And I think as we get clarity to COVID clearing out and things getting closer to normal. I'm pretty confident we're going to see opportunities that will present themselves, i.e., tenants looking for expansion capacity within this portfolio of land holdings that we have. And we could do these deals 1 deal at a time, Tom. I think that's the beauty of the position we're in. We can moderate the spend like we have, but we also can be opportunistic when appropriate. And I think that's what we really want to convey. The projects, by and large, remain in the priority, the way they've been disclosed from near term, medium and future. And that's how we rank them generally. But the specific ones that will pull the trigger around will be more demand driven.
Joel Marcus: And keep in mind, as we said in our guidance, Tom, one of our overriding goals, having lived through the great financial crisis was to give ourselves maximum optionality so that we adjusted our spend and our go-forward business plan almost on a dime, pivoting very quickly so that we don't need any further -- to raise any further capital this year to accomplish what we presented here on the call.
William Catherwood: Got it. That makes total sense. I guess the kind of follow-on to that then would be -- so I assume then you get those projects that are near-term to a level where there aren't startup -- significant start-up costs again. I guess we're thinking longer-term for yield impacts, and obviously, it's very early to be able to tell on that. But I would imagine if it was shut down midstream without full entitlements or without full approval that there would be kind of restart up costs or delays. So all that is part of the calculation?
Joel Marcus: Yes. Yes. And I mean, we -- to some extent, did something similar was different, but yet there is kind of a similarity during the great financial crisis when we continue to build the East tower in New York and we shut down the West tower having finished the foundation, but we didn't go vertical, and it turned out to be a really great call.
William Catherwood: Understood. And over to acquisitions. Obviously, acquisitions came in higher-than-expected over the past two years. The lower guidance for 2020 makes sense as you talk through your capital allocation plans. But I want to get more color on the transaction market in general. Is part of the lower guidance that you're seeing sellers pull their properties because they're not getting the pricing they want and on the flip side of that -- sorry, go ahead, Joel.
Joel Marcus: I was going to say, let me just respond quickly. Now I think that's part and parcel of giving ourselves the maximum optionality where we don't have an assumption of as many acquisitions as we had earlier so that we don't have to tap either the debt or the equity markets at all or even raise money through partial interest sales or whatever. So part of that was -- had nothing to do with the outside state of the market. It had to do with giving ourselves total and maximum optionality here. That was the driving force.
William Catherwood: Got it. Got it. I was just wondering as far as if there were opportunities out there that you might like that we missed out on because of the lower guidance, but it doesn't sound like that is the driving force.
Joel Marcus: No. Although given where we are today and our balance sheet, as Dean articulated, we have optionality to do a lot of things that maybe we wouldn't have had to do in a different environment. So it really puts us in a in a unique and, I think, excellent position, which is where you want to be if you can be.
Operator: Our next question is from Manny Korchman from Citi.
Emmanuel Korchman: In your press release, you talked about the fact that a lot of the new ground-up development in your pipeline is supportive of COVID-19 Research. That would obviously imply that, that's a shift as to the work that's happening in those facilities. So one, is that simply an overlap with the tenants that were already signed up and now they're going to be doing that type of work in those facilities? And two, does that mean that there should be more shadow demand for all of the other stuff that they thought they would be doing in those spaces pre covered?
Joel Marcus: Well, so maybe the first question, the COVID-19 type requirements or COVID-19 type infrastructure requirements, I should say, in the buildings. These are companies who are already focused in areas of therapeutic need in the antiviral areas and certain testing areas, certain infectious disease areas. I mean, Vera is a good example. That was their business before. And to be able to move from a particular focus in infectious disease or in therapies in the antiviral side to COVID-19 is not much of a stretch. Because the basic capabilities and technology and manpower is already there. So there isn't a lot of big pivoting among tenants who were working at. I mean, the East Lake development for Adaptive. I mean, they are all over the COVID-19 area, but it was a natural progression from where they were. But the second part of your question, yes, we've been already contacted. I can think of personally about a half a dozen e-mails, I've got from individuals from companies where they are looking for additional capability additional facilities for their ramp-up on COVID-19, whether it be vaccine, therapeutics or in fact, in testing. And so we do think there will be some pent-up demand there.
Emmanuel Korchman: Great. And then on your comment about sort of the retail environment within your assets, what does that retail look like on the other side of this? Is it going to be a different mix of retail? Is it going to be not retail at all? Sort of help us get out there first of all, what those retail spaces and what will look like?
Joel Marcus: Yes. That's really hard to say. My sense is that given that we're not a heavily retail-oriented developer and operator. We think that one by one, we're going to look at the retail operations and see, does this make sense in a new environment, people are going to want clean, prepackaged, probably not so quickly to sit down. So I think there's going to be some shift. Some operators will be pretty facile at being able to do that. And others probably won't. And I think those will just be done on a one by one basis. Luckily, as being said, we don't have immense numbers of retail tenants. So for us, we'll be pretty methodical to try to go through that analysis. But I think it's fair to say until there is a truly effective vaccine, people are not going to be socializing and eating the way they used it.
Operator: Our next question is from Jamie Feldman from Bank of America.
James Feldman: I was hoping you could talk about your tenant base in the life science tenant base that's not involved in COVID-19. I mean, are those tenants basically still open for business?
Joel Marcus: They are.
James Feldman: And any pushing for rent relief or any kind of issues on earnings or revenue?
Joel Marcus: No. I think what's happening is many of the office type people are working virtually. Because you've got a component in every company depending upon size of people who are just office users. And then people in the labs, labs, by their very nature are essentially, you've got good spacing between people. In fact, when we've done tours in the past, especially a member in San Diego people saying, "Oh, my God, are there anybody working in the labs. So because on a beautiful day, a lot of times, people worked through the night rather than during the day. But they -- I think people have adapted pretty well, so they have essential crews going in to do continue experiments and mission-critical work in those -- and they shift around on days and weeks, and then those who don't need to be there aren't there until the stay in place orders are lifted. But everything is essentially open and working. But under new rules and new rules of the road, if you will.
James Feldman: Okay. And then as you think about long-term building design, do you think there's a lot of talk about what might be different in the office sector. But if you think about the lab sector, do you think this is a catalyst for any changes in space design?
Joel Marcus: Yes. So Peter, you want to maybe comment?
Peter Moglia: Sure. So Jamie, one of the things that we used to get asked about was the densification trend for office going to affect lab, and the answer was always no because for one, lab spaces as much about equipment as it is about people. So the way that just research has done right now with people kind of that every other bench with equipment filling in, social distancing is really already factored into the design. There may be some things that can be done with circulation within a lab that will examine to make things even safer. But by and large, we've already been studying this. Our traditional lab product is probably already safe in this environment. We're looking at some of our proprietary products that might be a little bit more dense, and we've already got plans in place for some practical reconfigurations that will not be costly, but we'll just create a little bit more safety.
James Feldman: Okay. And there's a lot of talk about air quality just for traditional office. Mean are there things in your lab development business that you think are strategic assets or knowledge assets that might actually help you even more in the office business? Or that if you think how that design might change going forward?
Joel Marcus: Well, that you're running up, if you don't mind you off, you really answer. Yes, you bring up a really good point. We actually even have one of our large tech tenants, which I won't name because I'm not sure they would want that publicity. But has come to us, they were put into 1 of our large lab buildings and as the only non-lab tenant they really have fallen in love with the high ceiling and the 100% fresh air. This is pre-COVID, by the way, that they had such great experience and such great feedback from their employees that when they go out now with RFPs for new space, they're asking for the same floors and the same air filtration, air changes that we provide. So look, everything that we have that is office with potentially a couple of minor exceptions, is built for laboratory. And therefore, it does have high ceilings. It may have MEP design that is a bit more efficient for office, but we have thought about and put in infrastructure that would enable it to be lab in the future.So we do have the ability to provide an atmosphere from a mechanical standpoint, that mirrors lab. And I think to the extent that office tenants are growing and expanding. We'll see when that happens. But that they will look at buildings like ours, like they have been because we have that advantage. And Steve even mentioned the fit well and the wealth standards, which factor in such things as the amount of natural light that comes into the space, the amount of actual space people have to move around the building, the outdoor space people have to work in. All of those things in this environment are going to be really important as people decide where they want to office. And so our thought to getting into these well and fit well-designed standards is going to pay off not only in our lab business, but for anybody who is leasing office from us as well.
James Feldman: Okay. That's helpful. And then finally for me, as you look across the competitive landscape, are there buildings owned by landlords that have balance sheets that may not be so strong? And you kind of see -- you could see some distressed opportunities? Or do you think the better quality buildings that would fit with your portfolio are pretty well owned at this point?
Joel Marcus: I would say it's possible. So stay tuned.
Operator: Our next question is from Rick Anderson from SMBC.
Richard Anderson: So this question has kind of been asked and kind of answered, but not quite. And I wanted to sort of ask it a different way. The 60 tenants, in some way, shape or form involved in the process here and doing awesome things to try to move things along. But is there a -- I know on suggesting they shouldn't be doing that, of course, but is there a short-term potential impact on their own profitability as they -- some amount of resources are redirected towards COVID-19 and their own core drug research business perhaps gets a little bit of a delay. Is that a reasonable way to think about this? Or am I completely off base on?
Joel Marcus: Well, I think for those that -- certainly for the bigger pharma and bigger biotech, who actually report quarterly earnings, I think that's a possibility. Saw a little bit of that in Merck's report today, where it's pretty clear that when people can't go visit the doctor can't go into the hospital for normal procedures and you're stuck kind of in your home, your access to medical care. And in fact, pharmaceuticals is a little more problematic. I think for the private biotechs or the biotech companies that haven't reached profitability, I don't think that's such a big issue because it's the pipeline and the value of the pipeline that really counts. I don't know, Jenna, do you want to make any other comments?
Jenna Foger: Yes. I think the other thing that I would add, Rich, is really that the platforms themselves that they're optimizing. So in the case of or Moderna, the learnings and the pure intelligence that they're getting by optimizing the platform in this rapid speed and rapid notion is actually incredibly valuable for the company overall. Hopefully, they'll be successful. But even if they're not. So I think that's the way to think about it. And I think, as Joel mentioned, clearly, the large pharma folks will have some trouble of their own as far as clinical trials and progressing. But as far as refocusing efforts to COVID, it's actually not all that expensive for them to do that. So if they're successful, I think it's great and I'll come back to them. And if they're not, it's really not that much because a lot of it is either in collaboration with other biotech companies that they're doing the work or using repurposing old drugs. So I think that's just the overview.
Richard Anderson: Okay. Great. And then the other reference earlier in the call was sort of different utilization of office space in the longer-term aftermath of all this. But when I think of your lab buildings, perhaps maybe the build-out there is 50-50 office and lab space. Do you think for that 50 that's on the office side that your tenants might start thinking about a work from home type of strategy? Or is it just too soon to sort of make that call even for the life science component of your business, not the pure office?
Joel Marcus: Well, I think at the moment and when they reintegrate into the -- whatever will be the new opening and that's going to be different city by city, state-by-state and even company by company. I think you'll find people working maybe shifts to begin with. Those who can work from home over time will probably be brought back into the system because I think it's pretty clear you -- it's hard to build a culture when you have people or maintain a culture when you have people working from home consistently. And especially a number of those people are senior management of a lot of these companies. So I don't think that's going to be a big issue, but I think it will be a time frame issue. But there's a light at the end of the tunnel because once there's a -- if there is, and we think there probably will be an effective vaccine. Hopefully, that goes away, although the age-old habit of shaking hands, hugging, being close to people probably will be rethought a lot by people and that may never change, except in family settings or things like that. So there will be some long-term changes. But I think as I've described the reintegration, I think that's likely what would happen on the office side.
Richard Anderson: Right. Lastly. Sure. Peter?
Peter Moglia: If you don't mind. This is Peter. Yes. The people -- a lot of that office space is actually the office space for the people working in the lab. So they do their experiments in the lab, and then they go back to their office and write things up and communicate about those things. So you actually can't work from home. You have -- that office has to be next to the lab because you're going in and out of that. And the majority of our space is revenue-producing space. It's research and development. It's not has nothing to do with back office. I'm sure there's a few companies that we have that may have some back office in there. But by and large, the majority of that office space are people that are actually working in the lab. So that can't be brought home.
Richard Anderson: Next question for me is on the VC side. Obviously, some noise, not to be unexpected this quarter. But has it caused you to rethink or tweak that strategy at all? And the answer could be completely no or perhaps...
Joel Marcus: Slightly, no. Okay. Yes, the three items that Dean mentioned are all very unique situations. One has to do with just the market. It's more of a consumer kind of product. Another one has to do with -- actually, the other 2 are really primarily due to management issues, not fundamental underlying business issues. And so in any venture portfolio, you're going to expect some don't perform. And yes, no change whatsoever.
Operator: Our next question is from Michael Carroll from RBC Capital Markets.
Michael Carroll: I wanted to see if we can talk a little bit about the Mercer mega block. It seems like that asset was delayed. I'm not sure if it was delayed because of the current COVID environment or if there's something unique that's going on right there. So how is that acquisition going right now? And is there any changes within expectations?
Joel Marcus: Yes. I don't think there's any delays other than COVID. It's just hard to get -- we're in diligence. And it's hard to get things done. Sometimes when cities are shut down when we're shut down to the extent that we have to be and when you're working virtually and mobilely, so I don't see any -- we were -- the anticipation is to close that either toward the end of the year or early '21. And I don't think that's materially changed.
Michael Carroll: Okay. Great. And then can we talk a little bit about the leasing activity? And I know you made several comments throughout this call, and it seems like leasing trends are still very healthy. But has it changed, I guess, in the current environment compared to three months ago? Is it harder for people to see certain assets? And is that potentially delaying transactions, but not stopping those transactions? I guess, what's the good way to think about that?
Joel Marcus: Yes. Steve, you can take that, but I don't think there's any huge delays and people are virtually looking at assets.
Stephen Richardson: Michael, it's Steve. No, that's right. I mean the demand continues, the need for lab space, as Peter has outlined, is qualitatively different than office space. As people's programs and the funding that Joel highlighted in the beginning, come to fruition. They want to keep moving forward. They want to lock down lab space. The markets are very tight. Again, no major subleases have come to the market. So people are still acting with a sense of the need to move forward and do that deliberately and diligently we have been able to go into the market. These are all essential service buildings. In the orders, they are very clearly and explicitly defined biotech and pharma buildings as essential services. So they are open so we continue to see healthy demand.
Joel Marcus: Yes. And as you saw from the press release and supplement, we announced that we had considerably upzoned our asset at 325 in and that's a good example during this last month or two of COVID shutdown, we've still seen a remarkable amount of interest in that development as a good example.
Michael Carroll: Okay. And then just last one for me, I guess. I know that it seems like there's been a lot of funding coming into the space. I mean, in the post COVID environment, do you think it's logical to assume that there's going to be more funding coming into biotech that could drive, I guess, incremental demand? Or is the demand that you've seen is already pretty at record levels? And that's a pretty good pace.
Joel Marcus: I think there's going to be more, and I don't know how things are going to sort out with China, whether they really open up the -- what really happened in Wuhan? I mean, there are a lot of different theories, as you guys know. But whether it was pure research, whether it was maybe a biological weapon. I don't think the web markets were necessarily the exact cause of that, but I'm not the expert. But I think there's going to be a much more intense federal, state and local effort to try to stockpile medicines, therapeutics, testing capabilities, vaccines. And remember, there are more than 1 strain of the coronavirus. And we don't know what other ones are out there and do to come. So I think this is with us maybe for the history of humanity here.
Operator: Our next question is from Dave Rogers from Baird.
David Rodgers: And maybe following up on Mike's question and some things that both Steve and Peter mentioned earlier. You talked about the activity in the proposal consistent with prior quarters, and that's pretty consistent with what we've talked in the private market as well. But leasing, new leasing activity in the first quarter was just slower. So maybe that -- you could just address that specifically, was that always going to be a little slower just the way the pipeline was materializing? And then maybe take that question to the future and say, second quarter, do we see a spike in COVID leases, third quarter, maybe the core portfolio, fourth quarter, we start to see people committing to kind of multiyear developments? Or do you think it happens more quickly than that? Can you give us maybe just a little bit more color on kind of how you're feeling today about some of the timing around that?
Joel Marcus: Yes. I'm not sure anybody really knows, given so many different state local and even commentary on what to do in different locations. But Steve, you could take a crack at that?
Stephen Richardson: Dave, it's Steve here. Yes, again, the activity remains consistent. It is consistent across all of the regions. So I think we're very well positioned to capture that demand. We'll just have to see exactly the intensity of the velocity and the magnitude of it. It is high-quality demand, but I think it is still a little bit TBD, but nevertheless, again, April was very encouraging. We're in the full throes of the pandemic, and it was consistent with what we saw during Q1.
David Rodgers: In terms of the COVID leasing or the activity that you're seeing there, would that be a notable spike that we'll see coming? Or is it just kind of incremental to the demand that you've already been seeing?
Joel Marcus: I think it's hard to say. I think it's possible that when you say spike, I mean, if there's an additional building or 2 requirements, or half a dozen? I mean, don't know if that's considered a spike or a natural evolution of the pandemic response. But we would expect that there are going to be a range of requirements out there, given the amount of money flowing into testing therapeutics and vaccines. I think you have to believe that don't know if it's a Tsunami or a wave, but it'll -- it's going to happen.
David Rodgers: Last for me. Dean, I think your comment, if I heard it right, was that you thought gains this year, the realized gains from your equity investments would beat last year's $50.3 million. Talk about maybe the confidence and liquidity around those? Are those largely already identified and likely to be public market sales, so that gives you kind of the confidence in the liquidity for that market. Any thoughts would be helpful.
Dean Shigenaga: Sure, Dave. So my comment is really just driven by the historical trend of realized gains. So if you look back over the last number of quarters, it's been roughly in that $14 million a quarter range this quarter, about 15%. And so I think over the last number of quarters, I've always mentioned, I think the best way of thinking about it is to watch the historical trend of where we're headed. And at that run rate at 15 a quarter, just as an example, we're already ahead on an annualized basis to the $50 million that we recognized in 2019. There's a tremendous amount of unrealized gains today in the portfolio, $384 million today. So there's good value still to be tapped.
Operator: Our next question is from Tayo Okusanya from Mizuho Securities.
Omotayo Okusanya: Just one quick question. I was curious if there was any what the interest in other markets you're currently not in right now, whether there was more interest in some of those markets or less? I think at the Investor Day, there had been some conversation about some markets that you could potentially be looking at outside your current core clusters today?
Joel Marcus: Well, I think in this environment, that's not something that we're thinking about at this time. But I think over the long term, there will likely be other markets, but probably nothing we'd comment on at this point.
Operator: Our next question is from Manny Korchman from Citi.
Michael Bilerman: It's Michael Bilerman. I had two questions. One, and you talked a little bit about this deal that you walked away from the multi-tenant tech office building. Do you have sort of a broader sort of perspective on how you sort of think about your capital investment going forward, whether you view that 100% targeted towards lab and life science, where a lot of the office opportunities you've been involved with have been a byproduct of the markets that you've been in and the relationships that you've developed, does this whole pandemic change the sort of single-use office, either for a single user or a multi-tenant building going forward where you could see the company being going back to being exclusively focused on life sciences and labs?
Joel Marcus: Well, I think, Michael, one thing is for sure, we have always put our always allocated capital to our core, which will never change, which is the life science industry. But as you know, the intersection of life science and the whole you might call it, the whole IT world is really booming. And so I mean, telemedicine went from something that millennials or Gen Z or Gen Xers would occasionally use because they're pretty healthy too. Right now, it's -- I think, I've got a note because we're involved with the company that's kind of at the forefront that it's spiked up 85% of what it was 2 months ago. So I think you can't ever forget, I mean, tenants of ours, Google, Verily , Microsoft, others that are heavily, heavily involved in the health care sector. So the 2 overlap in ways that are pretty fundamental. So that will always be of great interest. I don't think we'll have as much interest in pure tech office buildings. But I think where we see a building, as Peter described, that may be an office tenant today, but that's in a great location that we can convert in the future. That -- those would still be of interest. And I don't think we've ever really had interest in owning lots of office buildings, multi-tenant office buildings. Per se. That's never really been a focus of ours. So I think we continue our focus.
Michael Bilerman: And then you talked a little bit about sort of all the focus on COVID-19 right now from your tenant base and that there may be clearly some effects from other activities that are not occurring for those tenants. How do you sort of think about the academia side with schools potentially not opening up in the fall. Clearly, a lot of your buildings are in close proximity to key academic institutions, whether it's MIT, UCFS. How do you think about that aspect and what potentially could come out of that of schools don't physically reopen?
Joel Marcus: Yes. Well, I think number one, those are mostly for undergraduates. If you look at MIT, a lot of the professors and a lot of the labs are still open. They've gone to COVID related operations where people are cycling in, not at all at the same time. But labs and a lot of the graduate students and professors are still working. So in that sense, that's -- we're not so tied to the undergraduate populations. We don't -- we aren't kind of just out there being near university campus, that's kind of not our business model. But what we are focused on are being close to the fundamental institutions in the United States that have pretty strong computational, biological, chemical, all the right kind of areas where they're going to continue to work and people will continue to visit labs and work in labs. So I don't think that changes anything we're doing any Iota.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Joel Marcus for closing remarks.
Joel Marcus: Okay. It's been a long call, so sorry for that. Thank you, everybody, and look forward to talking to you on the second quarter call and most importantly, stay safe.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.